Operator: Good day and welcome to the Sempra Energy fourth quarter 2009 earnings results conference call. Today’s conference is being recorded. At this time I’d like to turn the conference over to Mr. Jeff Martin; please go ahead, sir.
Jeff Martin: Good morning. I would like to thank each of you for joining us, we know this is a busy time for everyone. This morning we’ll be discussing Sempra Energy’s 2009 financial results. A live webcast of this teleconference and slide presentation is available on our website under the investor section. Here in Sand Diego we have several members of our management team including Don Felsinger, Chairman and Chief Executive Officer; Neal Schmale, President and Chief Operating Officer; Mark Snell, Executive Vice President and Chief Financial Officer; Debbie Reed, President and CEO of our utilities; and Joe Householder, Senior Vice President and Controller. You’ll note that slide two contains our Safe Harbor statement. Please remember that this call contains forward-looking statements that are not historical fact and constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are not guarantees of performance. As you know, they involve risk, uncertainties and assumptions so future results may differ materially from those expressed in our call. These risks, uncertainties and assumptions are described at the bottom of today’s press release and are further discussed in the company’s reports filed with the Securities and Exchange Commission. It’s important to note that all of the earnings per share amounts in our presentation today are shown on a diluted basis. And now with that I’d like to turn it over to Don who will begin with slide three.
Don Felsinger: Thanks and again thank you all for joining us. On today’s call I would like to accomplish several things. First review with you our 2009 financial results. I’ll then discuss our sale to JPMorgan of a portion of our commodities business, and provide some additional color with respect to our next steps and then finally I’ll give you an operational update of our utilities and infrastructure businesses. Now the financial results, earlier this morning we reported fourth quarter earnings of $288 million or $1.16 per share compared with $319 million or $1.30 per share in the same period last year. For the full year 2009 earnings increased to $1.12 billion or $4.52 per share up from $1.1 billion or $4.43 per share. Earnings per share for 2009 without the impact of a $0.26 per share write-off earlier this year improved 8% over last year’s results. Last week when we announced the sale of a portion of the commodities joint venture we provided guidance for 2010 of $4.25 to $4.50 per share. This guidance assumes the sale of the metals, oil, and European energy business close by mid year and a full year earnings contribution from the commodity joint venture of $150 million to $250 million. Now let me hand it over to Mark so he can take you through some of the details of the financial results beginning with slide four.
Mark Snell : Thanks Don, [inaudible] for gas and electric earnings for the fourth quarter were $67 million compared with earnings of $81 million in the year ago quarter. The decrease was primarily due to $9 million of reduced incentive awards and $4 million of higher wildfire related insurance expense in the fourth quarter of 2009. Full year 2009 earnings increased to $344 million from $339 million in the previous year. At Southern California Gas fourth quarter 2009 earnings were $75 million, up from $54 million in the fourth quarter of 2008. The increase was due to $10 million of higher margin and $7 million of lower litigation expense in the fourth quarter of 2009. For the full year 2009 SoCal earnings were $273 million up from $244 million in 2008. The 12% increase in earnings for the year was due to continued strong operating performance. Now let’s go to slide five, Sempra Commodities earnings in the fourth quarter of 2009 were $71 million compared to $164 million in last year’s fourth quarter. The last quarter of 2008 benefited from great performance across all of our product lines. This year the business performed modestly in the fourth quarter of 2009, that was led by oil and metals. Power also performed well but results in the gas book were weak due to low volatility and a flat basis differential during the final quarter of the year. The quarter was also impacted by retention costs and higher foreign taxes within the joint venture. For the full year 2009 commodity earnings of $345 million were in line with 2008 results. Now let’s move to slide six. Here we show how income is allocated at the joint venture for the last quarter and for the full year of 2009, a couple of highlights. First the joint venture had income of $28 million during the quarter. After applying the income allocation methodology the distributable income to Sempra was $24 million. After adjusting to US GAAP and for the impact of taxes, Sempra’s joint venture income for the quarter was $74 million, that’s down from $162 million in the same quarter in 2008. For the year the joint venture had distributable income of $407 million and Sempra’s after-tax share was $352 million. The US GAAP conversion adjustment of $55 million for the quarter and $163 million for the year was primarily the recognition of storage and transportation earnings from 2008 that could not be recognized under US GAAP until 2009. Now let’s move to slide seven, fourth quarter earnings for our generation business were $43 million compared with $60 million in the same quarter in 2008. The decrease for the quarter is primarily the result of $16 million of Mexican income tax benefits in the fourth quarter of 2008. For the full year 2009 the generation business recorded earnings of $162 million compared to $222 million in the prior year. The decrease was due to $31 million in reduced earnings due to lower gas prices in 2009, the Mexican tax benefit in 2008 that I just mentioned, and $9 million of solar investment tax credit in 2008. Now let’s move to slide eight. Sempra pipelines and storage recorded earnings of $37 million in the fourth quarter of 2009, that’s up from earnings of $22 million in the same quarter of 2008. Fourth quarter 2009 results include $5 million of higher earnings from natural gas operations in Mexico, $5 million of higher earnings from investments in South America, and $2 million of higher earnings from domestic pipeline and storage assets. For the full year 2009 earnings were $101 million compared to $106 million in 2008. The decrease was due a $64 million write-off related to the Liberty Gas storage project. The write-off was largely offset by $29 million in higher earnings from North American operations, $13 million of favorable tax benefits in 2009, compared with $9 million of unfavorable tax adjustments in 2008, and $8 million of higher earnings from South American investments during 2009. Now please turn to slide nine, this slide provides a summary of our business unit results. I’d like to highlight a couple of things here, Sempra LNG had earnings of $35 million in the fourth quarter of 2009 compared with a loss of $13 million in the prior year’s period. The increase for the quarter was primarily due to the start up of marketing and terminal operations. I’d point out that the fourth quarter of 2009 was the first full quarter that we received revenue from all of our long-term contracts. For the full year 2009 Sempra LNG recorded earnings of $16 million compared with a loss of $46 million in 2008. For 2010 we expect annual earnings to be in the range of $70 to $90 million. At parent and other we recorded a loss of $40 million in the fourth quarter compared with a loss of $49 million in the same quarter in 2008. For the full year 2009 the parent recorded a loss of $122 million compared to a loss of $97 million in 2008. This increase is primarily due to increased interest expense. Please turn to slide 10, overall our results for the quarter and for the year were very strong. Earnings at our California utilities were up a combined 6% for the full year, operating cash flow during 2009 was up 57% over the prior year, and from a liquidity perspective we still have $3.6 billion of availability under our committed bank lines at the end of the year. And with that I’d like to turn it back over to Don who will begin with slide 11.
Don Felsinger : Thanks Mark, now let me update you on our business activities starting with our commodities joint venture, last week we and RBS announced an agreement to sell the metals, oil, and European energy segments of RBS Sempra commodities to JPMorgan for an expected $1.7 billion. Sempra’s share of the proceeds is expected to be $941 million. We also expect to distribute approximately $500 million of excess cash in the business of which Sempra would receive half. Please go to slide 12, last week I commented that we were still exploring options related to the remaining North American Gas and Power business. These options included [inaudible] business or finding a new partner or other relationship to provide liquidity and financial support that would cap our exposure to the business and allow us to reacquire RBS’s share without issuing equity. We have continued to explore several options for a third party support but in this market we no longer believe we can find a cost effective long-term alternative to equity. Because of this a sale of the business is now our preferred outcome. We have several interested parties and believe a transaction can be completed quickly and in a fashion that delivers the best result for our shareholders. Please go to the next slide, in a sale we anticipate receiving 49% of the remaining book value which equates to approximately $800 million plus a premium. This assumes all the previously discussed distributions have been made. The combination of the sale to JPMorgan, the subsequent cash distribution and the expected proceeds from the sale of the North American Natural Gas and Power business should mean total cash proceeds to Sempra in the neighborhood of $2 billion or more. Please go to slide 14, we plan to use these proceeds to fund new growth, reduce debt, and upon an exit of the business a share repurchase. If you assume we complete our exit of the business before year end and we earn $150 to $250 million in the commodity business in 2010 we would expect our earnings for 2010 to be between $4.25 and $4.50 per share. For 2011 assuming we repurchase $500 million to $1 billion in equity before the start of the year, and given the growth in our utility and infrastructure businesses, we expect to earn between $4.35 and $4.65 per share in 2011. Now go to slide 15 please, what I’d like to do now is update you on the activities at our California utilities, our largest project the Sunrise Powerlink transmission line is scheduled to be in service in the second of 2012. We are awaiting the final approval from the US forest service which we expect to receive in the next couple of months. A number of activities are underway to support the start of construction later this year. We have placed orders for key components including towers and underground cable and are now focused on completing the construction agreements and acquiring land rights. Turning to our Smart Meters programs, at SDG&E, we’re well underway with the installation of Smart Meters and have now installed almost 600,000. The meters are being installed at a rate of about 7,000 per day. We expect to have 1.4 million meters installed by year end and to complete installation of all 2.3 million gas and electric meters by year end 2011. At SoCalGas, reposed and alternate decisions were issued early this month by the CPUC on our proposed gas Smart Meter project. This is a $900 million capital project that involved installing six million gas smart meters in phases from 2012 to year end 2017. While the proposed decision issued by the administrative law judge didn’t support the project the alternate decision issued by the assigned commissioner in the proceedings recommended approval, provided certain conditions are met. We think this is a workable outcome and we look forward to receiving a final decision from the commission by mid year. At San Diego Gas and Electric, the CPUC recently approved our request to defer the next cost of capital proceedings by two years. We were originally scheduled to file a cost of capital application with the commission this year but will now file in 2012. The cost of capital would be effective in 2013. SDG&E’s current CPUC authorized return on equity is 11.1%. Before moving on I would like to update you on SDG&E’s litigation regarding a 2007 wildfire. After considering the amount incurred for homeowner settlements, additional reserves, and estimated defense costs, SDG&E’s remaining insurance coverage is approximately $20 million. Although additional costs necessary to resolve the remaining claims are likely to exceed the remaining insurance the ultimate economic impact will be determined after taking into account amounts we expect to recover from other potentially responsible parties including Cox Communication, an amount SDG&E will file to recover in rates. SDG&E’s rate recovery mechanism along with regulatory treatment of previously incurred large and unusual costs such as environmental liabilities and the court’s application of the strict liability standard to these fire related damages, all support cost recovery. From an accounting perspective the timing and our ability to accrue recovery for these costs, either from utility customers or other third parties, may vary from the time the cost is known and recordable and the time of our payment and subsequent recovery. While this may have an effect on our reported results and cash flows we expect to recover the vast majority of these costs. Please now go to slide 16. At Sempra generation we have now began construction on our Copper Mountain solar project in Boulder City, Nevada. This project is a 48 megawatt expansion of existing 10 megawatt El Dorado solar facility. The power generated by this expansion will be sold under a 20 year contract to PG&E. We’re bringing this project online in phases and expect to complete construction later this year. Also last year Sempra generation acquired a 50% interest in the Fowler Ridge II wind farm located in Indiana. Legal partners there with DP in this 200 megawatt project which began operations in December. Moving to our LNG business unit we have completed construction on $125 million nitrogen injection plant at our energy [inaudible] terminal. This project became operational in December and provides us with another source of contracted revenue. At our Cameron LNG terminal in Louisiana we’ve received two spot cargos from [Raz Gas], one in the fourth quarter of last year and one so far in this quarter. The US is seeing an increase in LNG flows and we’re optimistic about receiving additional cargo this year from Cutter under our agreement with [Raz Gas]. Both of our LNG terminals are supported by 20 year contracts that represent nearly 65% of their total capacity. At our pipelines and storage business Milwaukee express pipeline project was completed in November and is now fully operational. And in our natural gas storage development program in the Gulf Coast region, where we expect to bring an additional 12.5 billion cubit feet of storage capacity online by the end of this year at our [Bay Gas] and Mississippi hubs facilities. Now please go to slide 17, yesterday we announced a definitive agreement to acquire El Paso’s pipelines in Mexico. We’ll acquire interest in two natural gas pipelines connected to the US, a natural gas pipeline connected to PEMEX system in northern Mexico, and a propane pipeline near Monterrey. Three of the four assets are co owned with PEMEX in a 50/50 joint venture and one will be wholly owned by us. The Mexican government has announced its desire for our new partner PEMEX to dispose of their ownership interest in these assets. PEMEX will hold an open auction to facilitate the sale which is subject to our right of first refusal. PEMEX long-term contracts to utilize these pipeline capacities will remain unchanged. The assets are all in operation and provide stable revenue streams under long-term contracts representing a weighted average [link] of 13 years with PEMEX and the Mexican federal energy company or the CFE. The acquisitions which will be part of our pipelines and storage business extends Sempra the existing infrastructure footprint in Mexico which currently includes natural gas pipelines, distribution companies, a power plant, and our energy [inaudible] LNG terminal. The total purchase price for the acquisition of the interest in El Paso is $300 million or $260 million net of cash and debt. We expect the transaction to close mid year and to be slightly accretive to earnings this year and contribute $0.10 per share in 2011. Now the next slide please, let me just wrap up by saying I am pleased with our results in the fourth quarter and for the full year. I’m also proud of our accomplishments in 2009 which include the completion of a five year construction program in our natural gas business and the continued progress of our major utility projects. We have decided on our approach for the remaining business at RBS Sempra commodities, and as we exit the trading business the proceeds will help fund our robust capital program of $14.5 billion over the next five years and lead to strong predictable growth. We’ll be giving you more detail on that capital program and on our earnings projections at our upcoming conference in San Diego on March 25, and with that let me stop, open up the call, and take any questions you may have.
Operator: (Operator Instructions) Your first question comes from the line of Greg Sheer – Tuohy Brothers Investment Research
Greg Sheer – Tuohy Brothers Investment Research : Good quarter and congratulations on the process of thinking through the solution of the JV, how quickly do you think final news regarding the JV, are we talking still weeks, which you talked about last time on the call.
Don Felsinger : I think we said last time that we expect to close the transaction with JPMorgan sometime early summer. And as far as the sale of the remaining business we and RBS are starting a dialogue now with those people who have already expressed interest.
Greg Sheer – Tuohy Brothers Investment Research : Do you think we could have some feedback on that by the time of your conference.
Don Felsinger : I think so. The plan is is to move as quickly as we can on this. Its RBS’s desire now that we’ve made a decision to follow them, I think we’ll work together to make this happen sooner versus later.
Greg Sheer – Tuohy Brothers Investment Research : So assuming you do consummate that and you have over $2 billion in total proceeds, less the $500 to $1 billion share buyback and the cost of the El Paso acquisition you’re still going to have a few dollars left over. How are you thinking that through, are you keeping that powder dry for possible right of first refusal on the PEMEX interest.
Don Felsinger : As I mentioned we have a fairly robust capital spending program of $14.5 [billion] so as we look at what we’re going to be doing in our utilities, looking at some of the growth opportunities that we have been looking at we’ll make a decision which of those to pull the trigger on then how much share buyback we’ll do.
Greg Sheer – Tuohy Brothers Investment Research : And lastly after this kind of exit from the trading JV your remaining assets are pretty low risk, even though you’re outperforming today, maybe you’re at roughly an 11x 2011 multiple given the middle of your guidance whereas peers are maybe 12, 13x plus. What do you think it takes to close that gap.
Don Felsinger : Well I think the steps we’re taking right now are going to do that. This was a decision that we had a lot of agonizing over but as we went through the options of staying in the commodities business or selling it and looking at the growth options before us it became pretty clear the best outcome for our shareholders was to go ahead, sell this business and reinvest into businesses that have higher growth potential and hopefully a higher earnings multiple. We’ll let the market kind of catch up with the new direction we’re going but we would expect with a portfolio of businesses that we have going forward that we ought to see an uptick in the multiples in those businesses.
Operator: Your next question comes from the line of Barry Klein – Citi
Barry Klein – Citi : With regard to you guidance in 2011 do you include any marketing earnings in those numbers.
Don Felsinger : No there’s not, we’re assuming we’re out of that business in 2011.
Barry Klein – Citi : And what portion of proceeds do you expect to spend, do you expect to spend any of the proceeds from the incremental $800 million from the sale of that or do you expect to just sort of leave that on the books in cash.
Don Felsinger : We’re going to take all the proceeds and basically recapitalize the business keeping it at a 50/50 equity structure that we have now, but remember we’ve got a fairly robust capital spending program and a lot of opportunities to buy thing like you just saw that we bought yesterday and so as we go forward we’ll redeploy that into growth projects and we’re not satisfied that we’re getting the return on the projects that we have before us within our businesses, or acquisitions—
Barry Klein – Citi : I was getting at if you included any of the earnings impact from those repurchases in your guidance for 2011.
Don Felsinger : Yes they do.
Barry Klein – Citi : And then also have you reserved anything for when you talked about the wildfire litigation is there any incremental reserves related to that that you’ve put onto your books.
Don Felsinger : No there’s not.
Operator: Your next question comes from the line of Paul Patterson - Glenrock Associates
Paul Patterson - Glenrock Associates: Couple of things, on the, when you first announced the sale of the European business you mentioned that you didn’t want to go any lower than BBB, with the new structure with the new lower risk profile, obviously without the trading business how do you feel about that now.
Don Felsinger : Well we have spent a lot of time in the past couple of months working with the rating agencies to get an understanding of what it would be like with and without the commodities business and also looking at what we need to support the businesses we have where we’ve got some counter party commitments in our generation LNG business, I think we’re okay once we’re out of this commodities business to let our credit rating maybe slip a little bit. But its still very important to us going forward because of the robustness of our capital program.
Paul Patterson - Glenrock Associates: So this gives you more flexibility but doesn’t really necessarily change your goal in terms of how you reach that.
Don Felsinger : Let me ask Mark to give you some more flavor on that because as I’ve said we spent a lot of time in the last couple of months going through this.
Mark Snell : I think generally speaking we probably don’t want to move our credit rating too much. We do have effectively A ratings at all of our utilities and we don’t want to have the parent be too far separated from those and the rating side. But I think the flexibility that we’re going to get by moving away from the trading business is our business profile that the rating agencies look at is much more secure. So that in an of itself allows us a higher leverage ratio and lower coverage ratios then what we would have needed to get the same rating with the trading business. So I think as you see us going forward we have a little more flexibility in our balance sheet structure and how it looks while maintaining the same ratings.
Paul Patterson - Glenrock Associates: Now when we go back to the $1.6 billion, that’s tangible book value correct that you have in the business right now and your $2 billion assumption basically indicates that you get no premium over that, is that correct.
Mark Snell : Correct, what we’re saying is well that includes the premium on the sale to the JPMorgan business but we’re not, we just did that without saying what we thought the premium would be on the North American Power and Gas business and obviously we don’t, we’re not going to communicate that number what we think it is now because that will be all debt, so we’ll let the market decide what that is.
Paul Patterson - Glenrock Associates: But I guess I’m saying is that it seems like you are using a conservative estimate here because one would expect that there would be a premium correct.
Mark Snell : Absolutely.
Paul Patterson - Glenrock Associates: And could you remind us what the premium was for the JPMorgan European transaction.
Mark Snell : It was $460 million.
Paul Patterson - Glenrock Associates: Also the tangible book value.
Mark Snell : Correct.
Paul Patterson - Glenrock Associates: Now if you were to get a premium I would assume it would be a tax impact could you just give us a little flavor because of course this is a little bit convoluted with the RBS JV, what kind of tax impact we might be seeing in terms of any premium on top of that.
Mark Snell : We think the tax impact will be relatively small, we do have some goodwill on the books that would absorb some of the gain but once we’ve, if you get a large premium most of the North American Power and Gas business is in the US obviously. There’s some in Canada. But both of those rates are going to be in the 38% kind of range.
Paul Patterson - Glenrock Associates: And the goodwill offset you were thinking about, how much would that be.
Mark Snell : We do have some goodwill on the books and its about between $100 and $150 million.
Paul Patterson - Glenrock Associates: And then the PEMEX assets, that are going to be up for auction, could you give us a little bit of a flavor for what the size of those are.
Don Felsinger : They’re a 50/50 partner so you can assume what we paid for them is kind of what the market is going to have as a starting point for their 50% ownership.
Operator: Your next question comes from the line of Andrew Levi – First New York
Andrew Levi – First New York: Just obviously you said your risk profile is going to change, a lot of things are going to change, how are you going to view the dividend now because obviously you’ve had a traditionally low payout ratio profile changes that you approach toward the dividend change.
Don Felsinger : Here’s a dilemma, we are still a growth company. Talking about spending $14.5 million over the next five years when you look at the next couple of years, we’re going to be out [inaudible] half that to fund that growth so increasing the dividend at this point in time would not be appropriate. And I think as long as we’re still on a rapid growth cycle, as we are, we’re going to keep our dividend policy as it is. But as soon as we get to the point that we’re leveling off on our capital spending I think we’ll go back and revisit that.
Operator: Your next question comes from the line of Leslie Rich - Columbia Management
Leslie Rich - Columbia Management: I wondered if you could talk about the implications strategically of not being in North American Gas and Power trading more particularly gas trading because you’ve often discussed the benefit that that has given you in terms of your investments and assets and sort of the strategic intelligence and just wondered if you, how you would replicate that or if you would plan to have some sort of internal department monitoring that going forward or sort of how to think about you being right out of the business entirely.
Don Felsinger : That’s a good point, its one of the things we’re going to cover when we meet with you next month, but we have a lot of natural gas assets with our pipelines and storage, our generation and our LNG business and so you should think about us building up either an optimization program or a natural gas trading program around our existing businesses.
Leslie Rich - Columbia Management: But one could assume that wouldn’t be a very capital intensive high volume kind of business, you’re not trying to replicate what you had.
Don Felsinger : That’s correct.
Operator: Your next question comes from the line of Lasan Johong - RBC Capital Markets
Lasan Johong - RBC Capital Markets: I think you know where I’m going to come from what would entice you to buy back the commodities business, I know you said you couldn’t get the right credit facilities or agreements but at some point the price becomes so stupid you say you know what, I don’t want to sell this, I want to buy this, what is that break off point.
Don Felsinger : This is one of those things that we have noodled from every direction trying to find a way to buy RBS out of their piece and my sense is there’s such a robust interest on this remaining piece that its not going to be discounted at all, as a matter of fact it will go for a premium. When we’ve looked at staying in this business it was really an issue for us of having to go out and issue about $2 billion in equity just to maintain the earnings that are in this business. And looking at the options that we have of deploying this money into growth projects, it just didn’t come out where it was even close from a shareholder outcome of us staying in this business or growing it in an area where we can achieve earnings that will get a higher multiple.
Lasan Johong - RBC Capital Markets: Can you tell me, I have a sense that you’re kind of looking at your Mexican acquisition with something more than just a stand alone business, can you give us a grand strategy around why you are doing this particular acquisition. Is it to connect eventually to Baja [inaudible] and create kind of a pathway for gas back and forth from Gulf Coast to the US West Coast. What’s the grand strategy here that lays behind this strategy.
Don Felsinger : Well when you think about our position in Mexico, one is Mexico has some of the same environmental issues that we’re trying to address here in the States, natural gas is becoming the fuel of choice in Mexico. The area that we’re investing in has high growth. And so when you look at the portfolio of assets we’re putting together in Mexico, we plan to take advantage of what we see as a fairly robust opportunity of these businesses to grow.
Lasan Johong - RBC Capital Markets: So you’re trying to duplicate Southern California Gas in Mexico.
Don Felsinger : Well I’m not sure that our design schemes are that big, but we have found Mexico to be a very favorable place to invest money. The regulations are very clear. Its an environment that is conducive to the long-term types of assets that we’re building and the direction of the government in terms of their environmental and energy policies are right in line with the types of investments that we’re making. So we plan to get bigger there and we have some other things that we’re thinking about in terms of that business but I’m not going to talk about them in this call but when you show up at our analyst conference we’ll give you some more flavor but once again remember these assets are fully contracted for the next 13 years.
Lasan Johong - RBC Capital Markets: Any chance you can give me a rate of return on that business.
Don Felsinger : Its in the, the IRR is unlevered at low double-digit.
Operator: Your next question comes from the line of Unspecified Analyst – CDP US
Unspecified Analyst – CDP US: I’m wondering given the capital program you discussed and I happen to whole heartedly agree about the dividend comment you made earlier should we then kind of take from that the organic opportunity plate you have in front of you would then probably preclude any kind of material or significant corporate M&A in terms of proceeds and utilization of balance sheet.
Don Felsinger : First of all take my comment with a grain of salt about issuing equity to remain in the commodities business, we don’t have any aversion against issuing equity around here, if we can do it for the right reasons. And if we saw an opportunity to buy something that we thought was a good purchase and it required issuing equity, we would do that in a heart beat. But so far the things that we have that are organic growth within our existing businesses and some of these smaller things that we are seeing on the fringe that have great returns really are the direction that we’re currently going.
Unspecified Analyst – CDP US: I very much concur, I’m just trying to frame in terms of what I think, in terms of what might be realistic expectations as an example if there’s a difference between doing like an energy south kind of transaction as opposed to something that like we’ve seen more recently within the energy space as well as the utility space. I’m just trying to kind of get a sense of scale as to given your organic opportunities and the hurdle rate that something more significant would require.
Don Felsinger : Its kind of hard for me to give you a general answer but its one is if we found a transaction no matter what the size is and it had the right returns and it was in the space that we’re looking at we would find a way to make it happen, issuing equity or not. We have just found that many of the larger deals that we look at because of the premium required and when they’re utility deals and the sharing you have to do back with customers, they just don’t look out for our shareholders.
Unspecified Analyst – CDP US: That was basically the point I was getting at and that was what I wanted to try to make sure I understood at this point.
Operator: Your next question comes from the line of Michael Goldenberg – Luminous
Michael Goldenberg – Luminous : I wanted to get a better understanding on the sale of the commodities business, I guess originally you selected JPMorgan and everything was going well and then US government made several comments, that at least to us outside it seems to have tempered JPMorgan’s interest in the overall business. Now you’re saying because you can’t work it out with RBS you’re going to sell the business. You mentioned you have several interested buyers. Just to give us a flavor, the parties that are interested are they less concerned about potential federal regulations, are they not subject to those federal regulations, what makes them interested now that they weren’t interested when JPMorgan originally was around, or maybe they were and I just don’t know.
Don Felsinger : Let me start and I’ll have Mark give you the flavor since you worked on this, but we had different types of buyers that had an interest in this business. We had some of those that wanted to buy the entire business. And then we had others that wanted the pieces and so going forward if those that wanted smaller pieces of the business that we think will end up transacting with for the North American piece, but Mark do you want to shed some—
Mark Snell : Without naming any names, I can say that I think the people that are interested in the North American Power and Gas business are not worried about the federal regulations as it applies to financial institutions. A lot of them are not financial institutions or they’re not financial institutions in the sense of being large depository banks. So I think from that perspective it’s a little bit different universe. This now actually is much more attractive to a lot of people because its of a size that’s more manageable for companies that aren’t JPMorgan size or Deutsche Bank size. So I think from that perspective I think there’s, it’s a more manageable more easy to do kind of transaction and there’ high interest. So I think we’re fairly optimistic that we’ll get a good price.
Michael Goldenberg – Luminous : And my other question is just on the numbers, you seem to be, when you announced the first transaction with JPMorgan you reduced earnings guidance so I assume it implies that that sell of the business even with the great proceeds was dilutive. Now you new guidance for 2011 which is going to have no earnings in the business, no earnings from the commodities business actually we’re seeing upward trajectory in earnings from 2010 to 2011. I’m trying to reconcile that in my head does that mean that maybe 2010 was conservative and including when you included commodities you were trying to be extra conservative or is there just this big share buyback that’s creating accretion even though you’re selling another half of the business when the first half was dilutive, something is numerically is difficult to reconcile.
Mark Snell : Its not really that difficult, I think at the end of the day its fairly, it’s a matter of timing. We have two things going on, one the 2010 guidance adjusts for the fact that we have a very much reduced commodities expectation in that number and we’re getting the monies or the proceeds from the sales towards the middle to the end of the year. And with 2011 we can redeploy those proceeds and some of them which will give instant earnings accretion which is like for instance the share buyback. And we’ll have some new investments coming on line, like our Mexican pipeline assets and then also just reflective of the fact that our other businesses have fairly good growth. Our utilities are going to grow our other businesses are going to grow and so that’s all reflected in the 2011 guidance. So I think from a, one of the things that we’re showing here is yes, we are kind of resetting the bar where we’re going from a move forward position, but we’re absolutely going to grow this business robustly into the future and this is where, and this is the direction its going to be and its going to be growth in things that I think our shareholders are going to appreciate, give a higher multiple to and we think it will be a better stock.
Michael Goldenberg – Luminous : No question about it, maybe it just seemed to me that 2010 to me seemed like could have some upside if you’re going to hang onto the business a little longer than I guess estimated.
Mark Snell : There’s always that side with us.
Operator: Your next question comes from the line of Michael Lapides - Goldman Sachs
Michael Lapides - Goldman Sachs: I actually have a couple of questions if time will permit I want to come back to the utilities, actually want to come back to raise it a notch or two and come back to the state of California, the state of California is having pretty difficult financial time right now. I think even in the last 24 hours there was some news flow about bond issuances. At what point do we think about California potentially as a regulatory environment for utilities mean reverting. It was not 10 years ago where people would have looked maybe its 11 or 12 years ago that people would have looked at California and said, it was the worst in the country. Its probably spent the last five or seven years as the very best in the country. Is what’s happening in California as a state financially or economically the driver that over the next couple of years maybe not sends it right back down to number 50 but mean reverts it back from being kind of the best regulatory environment in the nation.
Don Felsinger : Let me ask Debbie to weigh on this but let me just provide at least a view from my perspective, California like the rest of the country for the last 20 or 30 years hasn’t had an energy policy. And customers have kind of swung up and down depending on the price of oil and natural gas because of that. California adopted a policy about four or five years ago to go its own way and to become less dependent upon fossil fuels and to have a higher build out of renewables along with energy efficiency and demand side management. And that direction had support not just from the regulators at the commission but also from the elected officials in Sacramento. And even today with, there’s no doubt that we have a tough economic climate in California, when you look at the fact that the one thing that we’re blessed with in California is fairly decent weather and we don't have a large base of industrial customers. This has not been an issue. Now that doesn’t mean that it can’t be at some point in the future but everything today says we’re going to stay the course, we’re going to continue down this path we’ve been on for the last five or 10 years because what we want longer term is price stability in California from the energy sector. Let me just stop there and have Debbie—
Debbie Reed : I don’t have much to add to that, I would say that we have some of the lowest bills in the US and to emphasize that and that’s because California has invested so much in energy efficiency to reduce customer bills. And that is a bipartisan leadership position of our state that from the Governor to the legislature to the commission and the regulatory agencies there is true alignment of where the state sees the future in this area. As a matter of fact there was just recently a discussion at a commission meeting on this issue and the discussion was around the need of the commission to provide the stability in regulation to ensure that these long-term investments can be made to create that future that they envision and I think the most recent example of that is we just got the decision from the assigned commissioner on Smart Meter for SoCalGas which reinforces, this is a $1.1 billion project and the assigned commissioner is proposing approval of that. And so I think that’s an example that our commission is really focused on achieving this long-term vision of infrastructure, development and stability for customers.
Michael Lapides - Goldman Sachs: One follow-up question, unrelated business, when you’re looking down at the Gulf and looking at post the acquisition of energy south, about how many storage caverns you anticipate building over the next few years, both at Bay Gas and Mississippi hub, has that changed since your prior outlook given what’s happened just to electricity demand down there.
Don Felsinger : I’m going to have Neal give you a perspective but I would just say that you have to come back to the way that we develop and contract these facilities. We don’t build any of these things unless there’s a customer requirement or demand or sign up for storage capacity. And so we’ve always approached this business that yes gas prices will be volatile, and they’ll be less volatile but what really counts here as we look at building these projects in good locations is whether or not we can get customers to sign up to use these facilities and that will always be the direction we go forward with our development program in the Gulf.
Neal Schmale : Short answer is we’re still on the same trajectory that we’ve communicated earlier. We have a little bit over 11 BCF of capacity that’s fully contracted and operational and we’re going to increase that by about 12.5 by year end and a significant portion of that is contracted as well. So I just would underline what Don said which is that our fundamental approach to these kinds of businesses is to contract a significant portion of the capacity before we commit to the construction.
Operator: Your next question comes from the line of Leon Dubov - Catapult Capital
Leon Dubov - Catapult Capital: I realize this is kind of a fairly unlikely scenario but maybe you could kind of humor me, if for some reason that there is not enough interest in the North American business what are you fall back plans if you can’t sell it. Would you prefer to just wind it down or would you then look at owing the whole thing in some kind of scaled down version.
Don Felsinger : First of all let’s go with the premise that RBS is going to get out of this business period and so with that there will be an exit that is planned. Its hard for me to see how we would stay in this business just looking at the amount of robust interest that’s already been expressed in buying the remaining parts.
Mark Snell : I would say that I think the premise is actually it is quite remote but if it were to be the case and alternative you could wind down the business and I don't think we would have any problem getting our book value out of it at the kind of a worse case scenario so I think from that perspective it’s a relatively low risk kind of perspective and one of the reasons I [inaudible] a lot of comfort in that is as we have discussed previously the North American Gas and Power business right now because of a relatively flat basis across the country, and with the [contangos] that have come in lately I think you find that we don’t have as large a net investment in that business as we’ve had in the past. And so we’re sitting on a fair amount of cash and we’ve talked about some distributions already and there’s still a cushion in the business so I don’t think it would be a tough thing to do but I think generally speaking we think that’s a very very remote outcome and it just makes so much sense for so many different parties to step into this thing at this time that I just don’t I just really don’t think its going to happen.
Leon Dubov - Catapult Capital: What kind of timeframe do you think we’d be looking at in this continued unlikely case of a wind down to get the book value out so sort of similar worst case outcome to a sale but in a different format.
Mark Snell : I think like I said most of the money is already in cash and so the remaining amount which would only be less than $500 million is the average book life is 18 months, so you would roll off in roughly that period.
Operator: Your next question comes from the line of Jessi Loudon – Zimmer Lucas
Jessi Loudon – Zimmer Lucas : Just had a quick question regarding some of the proceeds just in terms on the exit from the business but just with respect to the earnings, I know you earned about $345 million this year. As I understand it you usually get the dividends next year, and you’re projecting in your 2010 guidance of about $200 million, so how should we think of that extra $500 million of earnings, is that included in the proceeds or would it be incremental.
Mark Snell : That is the, the extra $200 million is not included, last year’s earnings is included in the proceeds.
Operator: Your next question comes from the line of an Unspecified Analyst
Unspecified Analyst: I just wanted one clarification on your comments regarding the target rating, now obviously if you sell this business you can’t keep the BBB positive rating at the rating agencies I would think, but in terms of your targeted rating are you still looking at BBB flat or better or now that you’re not going to get the commodity business you’re looking at BBB positive and would like to stay there.
Mark Snell : I think we’ll always be BBB flat or better, and even with the commodities business, we consider that where we’d be. We’re BBB plus right now, we think that this, that for the most part the rating agencies will keep us at that, we don’t expect a change even with these plans.
Unspecified Analyst: I would think so but in terms of your targeting, are you targeting BBB positive now.
Mark Snell : We’re targeting, we would not go below BBB flat, we’re targeting BBB positive.
Operator: Your next question comes from the line of Rudy Tolentino – Morgan Stanley
Rudy Tolentino – Morgan Stanley : Looking out to 2012 should we expect 2012 earnings to be flat given the roll off of the CDWR contracts net any new growth investments.
Don Felsinger : We’re going to save something for the analyst call, we’ve given way more information than we normally give at this point in our planning cycle and so we’re really not going to address 2012 or other future years until you come and see us in April.
Rudy Tolentino – Morgan Stanley : But can you just maybe give me a sense of what your plans for hedging your gas generation assets going forward on the CDWR contracts expire or is that, I’ll let you give a shot a that.
Mark Snell : I think what we’re looking at to do is obviously to try to maximize the revenue potential of those assets. We’re looking at a lot of different ways to recognize that potential. And obviously there will be some degradation in income in that business unit but we think we have other business units that are going to do much much better. So generally speaking we’ll be fine.
Rudy Tolentino – Morgan Stanley : But is this something that you are looking to, are you thinking about like selling the—
Mark Snell : No I think generally speaking we’re going to continue to operate those assets.
Operator: Your next question comes from the line of John Alley - Decade Capital
John Alley - Decade Capital: I was just wondering if you could clarify something for me, I heard earlier you were saying you’re targeting a 50/50 capital structure is that right.
Don Felsinger : That’s what we have now and with those capital programs we have underway its what we are going to try to maintain.
John Alley - Decade Capital: Okay because in the past you said if trading weren’t really an issue you’d look to take it to more 40% or 60/40.
Mark Snell : That’s probably something that I had said in the past and let me just be clear, what I said was was that our non-utility businesses could support a little, probably could have a little bit higher leverage but our utilities businesses which are vast majority of our balance sheet are a 50/50 capital structure or even a little less leverage. And so when you average the two, we still kind of come out around 50/50 and to be honest, we don’t, we frankly don’t manage to a capital structure from that perspective. We manage to a coverage ratio and when we are in a growth mode as we are currently in and building projects ahead of their cash flow we tend to have to manage to a slightly better leverage, less leverage just to maintain our coverage ratios. And that’s really where we operate. Now with that I will say the fact that we’re selling the commodity business gives us a little more flexibility in our coverage ratios because our earnings are now a lot more predictable and a lot more certain, we don’t need as high a coverage ratio as we have in the past but even with revised ratios we’ll still be around 50/50 coverage, that’s the way it will work it.
Operator: Your final question comes from the line of Mike Bolt – Wells Fargo
Mike Bolt – Wells Fargo: In terms of the 2011 guidance if you do get a premium on the North American commodities business does that represent maybe some potential upside to the 465 high end or is it included in there.
Mark Snell : Its not included, it would be a little bit of upside depending on how we were able to deploy the proceeds.
Operator: There are no additional questions at this time; I would like to turn it back over to management for any additional or closing comments.
Don Felsinger : Thanks again to all of you for taking time this afternoon to join us for our fourth quarter earnings call. Any follow on questions, get a hold of Jeff or Scott. Have a great day and we’ll see you on March 25 in sunny San Diego, take care.